Operator: Good morning, ladies and gentlemen, and welcome to Enghouse's Fourth Quarter and Year End Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Friday, December 15, 2023. I would now like to turn the call over to Mr. Stephen Sadler, Chairman and CEO. Please go ahead.
Stephen Sadler: Good morning, everybody. I'm here today with Vince Mifsud, Global President; Rob Medved, VP, Finance; and Todd May, VP, Legal Counsel. Before we begin, I'll have Todd read our forward disclaimer.
Todd May: Certain statements made maybe forward-looking. By their nature, such forward-looking statements are subject to various risks and uncertainties, including those in Enghouse's continuous disclosure filings such as its AIF, which could cause the company's actual results and experience to differ materially from anticipated results or other expectations. Undue reliance should not be placed on forward-looking information and the company has no obligation to update or revise any forward-looking information, whether as a result of new information, future events or otherwise.
Stephen Sadler: Thanks, Todd. Rob will now give an overview of the financial results.
Rob Medved: Thanks, Steve. Good morning. I will be taking us through the financial highlights for the three and 12 months ended October 31st, 2023, compared to the three and 12 months ended October 31st, 2022, as follows. Revenue increased to $123.1 million and $454 million respectively, compared to revenue of $108.1 million and $427.6 million. Results from operating activities were $35.7 million and $122.1 million respectively, compared to $33.1 million and $129.7 million. Net income was $25.1 million and $72.2 million respectively, compared to $36.9 million and $94.5 million. Adjusted EBITDA was $37.9 million and $133.8 million respectively, compared to $35.8 million and $140.6 million. Cash flows from operating activities, excluding changes in working capital, was $43.5 million and $140.5 million respectively, compared to $37.7 million and $145.1 million. In fiscal 2023, we achieved a significant milestone by expanding our revenue, increasing our cash reserves and also deploying $55.2 million on acquisitions. We are pleased to announce record annual SaaS and maintenance services revenue of $297.6 million, an increase of $39.4 million or 15.2% compared to the prior year. SaaS and maintenance services are an important strategic source of revenue characterized by their predictable and recurring nature. They now represent 65.6% of total revenues for the year compared to 60.4% in the prior year. The growth in revenue was accomplished through the expansion of a recurring SaaS revenue base bolstered by new revenues from Qumu, Navita and Lifesize, all of which were acquired and successfully integrated in fiscal 2023 combined with positive impacts from foreign exchange rates in the year. This positive momentum was somewhat offset by declining software license revenue as we see increasing customer preference for SaaS solutions aligned with our commitment to provide our customers choice. We are actively broadening the global availability of our SaaS offerings, particularly in our customer experience and contact center technologies where demand for SaaS is growing. Despite the industry shift, we remain profitable, reporting results from operating activities of $122.1 million with cash reserves of $240.4 million and no external debt. We continue to actively pursue opportunities to strategically deploy our cash reserves on acquisitions and return cash to our shareholders in the form of dividends. Yesterday, the Board of Directors approved the company's eligible quarterly dividend of $0.22 per common share payable on February 29th, 2024, to shareholders of record at the close of business on February 15th, 2024. I will now hand the call back to Mr. Sadler.
Stephen Sadler: Vince will now give some operational highlights of the quarter.
Vince Mifsud: Thank you, Steve. We are pleased to report double-digit growth in Q4 '23 compared to Q4 of '22 with total revenue growth of 13.9%, recurring revenue growth of 35%, and net cash flows from operating activities improving 52.8%. Once again, we have also demonstrated to be one of the most profitable companies in our market, if not the outright leader in terms of profitability. We achieved these results despite being faced with inflationary pressures in 2023. These results reflect the competitive advantage of our choice strategy, our good products, acquisitions and how we integrate acquisitions and the Enghouse's team's ability to execute and continually find new ways to improve our business. Breakthroughs in 2023 in the field of generative artificial intelligence has prompted a lot of discussion and market awareness around AI, so we thought the timing is appropriate to provide more detail in terms of what Enghouse is doing in AI. We have a two-pronged AI strategy. One is to provide our customers with AI products that add value to their business and generate additional revenue for Enghouse. And secondly is to use AI tools to improve our overall internal operations that translates into improved profitability. Enghouse has been developing and integrating AI technologies since 2019, which commenced with the acquisition of Eptica and our approach involves integrating leading AI technologies with our own proprietary AI innovations. When developing and constructing our AI products, certain foundational blocks were essential to build and create and let me describe some of these building blocks. The Enghouse's transcription engine is a critical piece of software that translates phone calls and video recordings automatically into text. This proprietary transcription technology is available in over 50 languages and represents one of our fundamental building blocks for AI. Advanced linguistic search is another proprietary building block. This search capability enables us to go beyond simple keyword matching into broader language understanding. A third building block is the Enghouse knowledge base product that provides customers the ability to create their own proprietary data set derived from consuming multiple sources of internal content, including emails, customer interactions, documents and files. And this knowledge base provides the unique data set relevant to our customers businesses, which is what generative AI engines need to generate applicable and relevant responses. With these core building blocks integrated with leading AI technologies, we have several AI products and plan additional future products that serve the needs of the enterprise market. In a contact center environment, we think of AI primarily as a tool to improve the contact center agent's productivity. As an example, our agent knowledge product provides the ability for an agent to ask questions to the knowledge base and retrieve helpful and relevant responses which can assist them when addressing customer questions. Smart quality is our AI powered quality assurance product. Contact center interactions are typically recorded for quality assurance purposes and smart quality automatically evaluates the performance of an agent, scores their performance, provides agent recommendations. This saves supervisors many hours listening to recordings. We also have real time coaching technology which is used to help an agent while they're interacting with the customer, providing real time suggestions by recognizing the customer's sediment during the conversation. Also in most contact centers, after every customer interaction, agents need to manually summarize the call and the required action items. This consumes a lot of time. Our conversational summarization product performs interaction summaries in a fully automated manner. Virtual agents also known as chatbots, use AI to respond to customer inquiries, freeing up the contact center agent to handle more complex interactions. When a chatbot is unable to respond to an interaction, our engage product redirects the email or chat based on its content to the agent most suited to address the interaction. These are all examples of our AI tools that improve agent productivity. We also have AI in our video healthcare customers. Video fall detection technology is being embedded into our virtual sitter application that helps healthcare professionals monitor several patients simultaneously. This triggers alarms when a patient is falling or about to fall, which is used both in home and hospital patient monitoring. Within our emergency safety technology, AI is used to optimize the fastest route for a fire truck, police car or ambulance to the emergency incident. Considering several variables and factors such as vehicle size, traffic conditions, traffic lights, these are all aimed at helping save people's lives. In addition to offering AI products to our customers, which we are still early on in terms of generating revenue, we're also leveraging AI within our operations to enhance efficiency. We started using AI in demand generation area in '23, driving more inbound leads with the same level of spend. And in 2024 and future years, we plan on expanding AI across all areas of our company. Turning now to acquisitions. Our growth strategy continues to be expand profits both organically and through acquisitions. With acquisitions, a fundamental challenge lies in the post-acquisition integration process. In 2023, all three acquisitions that were completed were effectively integrated, transforming these companies from historical losses into profitability in the immediate quarter following each acquisition. The investments we made in technology and our improved internal capability have enhanced our ability to integrate acquisitions. Lifesize which we closed at the start of Q4, was purchased out of bankruptcy. And even with that complexity, we managed to generate profits from this purchase immediately in the quarter. As a reminder, we acquired certain assets of Lifesize for a purchase price of $20.7 million and employed approximately 70 former Lifesize employees. While we demonstrated success in Q4, we always continue to explore new innovative ways to improve our business, focusing on our products that we offer our customers, operational efficiency, acquisition and acquisition integrations. I want to personally thank the Enghouse team for their hard work and commitment during fiscal '23 that made our success possible. Let me turn the call over to Mr. Steve Sadler.
Stephen Sadler: Thanks, Vince. Just a little bit more on acquisitions. Just to remind you that Lifesize acquisition was completed in August 1 and is in our fourth quarter. It is performing as expected. We announced the assets were purchased in a receivership process, as Vince mentioned. And with a lot of work, it met our revenue and EBITDA expectations in the quarter. It's operating on our standard financial model already because some of the issues in a receivership process you can leave behind. Lifesize business is nearly fully integrated with our communication center business and video business at the end of the fiscal year. I should also point out that without Lifesize, our revenue is approximately the same as the third quarter. There is no longer a large decline because of video, but there still is some decline because of video. So most of the revenue increase in Q4 came from the Lifesize acquisition. Acquisition opportunities remain at a high level as companies in our sector struggle with debt, high interest rates and a slowing economy. I also should point out at Lifesize, when you go through a receivership, some companies started looking long before we bought the company and so we expect a slight revenue decline in our Lifesize business. Acquisition opportunities remain at a high level as companies in our sectors struggle with debt, high interest rates and slowing economy as I previously stated. I would now like to open the call for questions.
Operator: Thank you. And ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] One moment, please, for your first question. And your first question comes from the line of Stephanie Price from CIBC. Your line is open.
Stephanie Price: Good morning. Congratulations on the Lifesize acquisition and the quick integration there. Just wondering if you could kind of elaborate on the integration process and how much of it was, was the fact it was in receivership and how much of it was the fact that it seems like your integration process has kind of been refined here with Qumu, Navita and now Lifesize?
Stephen Sadler: Yeah, we are improving, of course, the more type of deals you do and we have some new people who are doing their first deal, but we have also some who have done many deals over the years. I would say that the process in a receivership is quite different. You get there faster, but it's a lot more work because you have to sign up the suppliers again, but you do not have to do a big, you know, hiring of staff and an exiting of staff. You pick the staff you want and leave the remainder that maybe not fit what you're trying to do with the receiver. So again, there's some advantages, but the disadvantages a lot more work because you just don't buy something and have time to sort it out. You have to move quite quickly in that whole process. So it helped us get to profitability a lot faster. It's a very similar business that we have, only run differently and that it has video and has contact center in the cloud. Like many companies, they did the same mistake that we saw with video and others where they told their customers they had to go to the cloud. They're not selling on-prem anymore. We stopped that. We will do both. It costs us a little bit more in R&D to do that, but we want to give the customer's choice. That's helped. And we believe the decline they saw in their revenue, we will still have some decline as people have already started looking, but we will have less decline. And over the next couple of quarters, we expect the Lifesize revenue to stabilize and probably profitability could still grow a little bit, especially as a percentage of that revenue. So, you know, again I think it was a good deal. It was an interesting deal in the sense that it wasn't a receivership. But as Vince said, the staff performed very well and we're ready to take on more.
Stephanie Price: Sounds good. And then maybe one on the organic side, I think you mentioned in prepared remarks broadening the global availability of SaaS solutions. Can you walk through this in a bit more detail? How's kind of your SaaS selling kind of changing?
Stephen Sadler: I'll give a short answer and let Vince take it. What we really do is offer choice. So, we're not pushing SaaS. And some customers want on-prem still, but we offer choice. That's a little harder for us and that some of our sales guys have to know how to do that well and that's taking a little bit of time, but we hope that's going to be the right way forward to improve our internal growth a little bit. Maybe, Vince, you can --
Vince Mifsud: Yeah. Not much to add there other than the choice model also helps reduce churn because if a customer wants to go from, let's say, on-prem to private cloud or multi-tenanted SaaS, we have that availability. So, it was a -- a lot of it was about getting our sales team ramped on doing that, getting our operations team comfortable selling, you know, SaaS products and doing Demand Gen around choice. So it helps reduce churn and it helps also win new business by having the flexibility of choice.
Stephanie Price: Great. Thank you very much.
Operator: Thank you. And your next question comes from the line of Paul Treiber from RBC Capital Markets. Your line is open.
Paul Treiber: Thanks very much and good morning. Just following up on the comments on SaaS, can you give us a sense of the magnitude of new SaaS bookings or maybe just the rate of conversion within your install base from on-premise to SaaS?
Stephen Sadler: That's kind of hard to do. I will make a couple of comments on SaaS. I think it helps customers. It does not -- it is not as profitable as on-prem for suppliers. I'm saying that because part of our strategy, of course, as a capital allocator is to buy companies. And we're finding the SaaS companies are the ones that are struggling the most. And as you've seen, we have bought a couple of in that area already. So, you know, I think we let the customers choose -- a lot of our customers were on-prem. If you force them to SaaS, they will look and potentially leave because no one likes to be forced to do anything, but I'll turn it to Vince to give further comments.
Vince Mifsud: I think, you know, we don't go into a lot of detail in terms of, you know, new logo wins on SaaS and conversions, but we're getting success in both areas. Winning new logos that are starting right away with either a private cloud or our multi-tenant products. And we're getting more conversions from on-prem to SaaS. And we're also getting partners that are standing up their own SaaS platforms based on Enghouse's technology and offering SaaS to their end customers. So we're seeing success in all the different areas.
Stephen Sadler: And Paul that's important because most of the competitors in SaaS run it on their system. They don't allow partners to set up their own. We will let partners do that. So, some of them are setting things up now and they will then sell on a SaaS basis our software to their customers. And even some of the telcos, sometimes they just buy licenses from us and maintenance and yet they use SaaS to their customers. So we have a little bit of a more complex model, but it's really all about giving customers choice.
Paul Treiber: Thanks. That's helpful. The comments that you made just in terms of product investments in AI and generative AI were interesting. Do you have a sense of the competitive ecosystem and how you're faring competitively when customers look at your product roadmap, the investments that you're making in AI? Because you called out new customer, new logo wins. Just if you have a sense of win rates and how you see that tracking.
Stephen Sadler: You know, it's very interesting. Most of the things we hear is just people talking and not doing. We've taken the other approach and we decided to talk a little bit more today because we usually do and don't say very much. Again, it's helped us. If you look at some of the competitors who talk about AI, they're not profitable and they aren't getting more profitable, so we don't know what AI they're doing. Our AI is based on tangible things that help the company either increase revenue or reduce costs. So again, it's a little bit different. We don't see in the selling process. We have a big disadvantage there, but it is a change for us again and we're getting the salespeople up to speed to do a little better in that area, but I'll let Vince.
Vince Mifsud: Yeah, I think in sales calls there's a lot of conversations about AI because people want to know what we're doing in it, want to maybe incorporate it into their future plans. So, there's a lot of conversations. And like Steve said, we've got a very practical solution to AI and a lot of different things that they can use, but it's mostly in kind of conversation stage I would say. So, revenue is still early on it, but like Steve said, we've been building these products for a while, so we have tangible things to show and we don't have any competitive disadvantage.
Paul Treiber: Thanks. Just last question for me, just in regards to the M&A environment, could you comment on the environment what you're seeing in terms of your pipeline? And then related to that, you know, it's been a fairly longish time for you at least since the acquisition of Lifesize at least was announced. What's sort of the disconnect perhaps between the environment and actually closing deals that you're seeing?
Stephen Sadler: It took a lot of work with the Lifesize. I guess my simple answer to that is stay tuned. We believe the acquisition environment is good for us. We're one of the few that have cash in the contact center, most -- all the competitors, you can look up the public ones are way down in value. They don't make money and they don't have money unless investors give them more and they're reluctant to do so now. So the market's changed and cash is king and we're in a good spot. We have cash. We don't need anything from the market. And we -- you know, we've been watching the whole market space that we're in for a long time. So, we're pretty confident on our acquisition strategy going forward and we don't have any barriers to us doing our strategy.
Paul Treiber: And just one quick --
Vince Mifsud: And maybe just to add, sorry, Paul, just to add, you know, we did -- we have beefed up our acquisition team as well. So, we've done that about six months ago. So that's, you know, a work in progress, which is increasing the activity level in M&A as well.
Paul Treiber: And just a quick follow up, you know, if you can give any hints, so to say, about the types of companies that you would consider here, like you look at larger ones, if you look at ones that are receivership like Lifesize, SaaS versus on-premise, how should we think about that?
Stephen Sadler: Like we've been doing for a long time, anything that gives us a five to six times, a six-year return, which generally means an IRR over 20%. We think there's lots of opportunities. We have a lot of cash, but we may need a lot of cash.
Vince Mifsud: And we always look at companies typically ranging from 5 to 50-ish has been historical kind of size.
Paul Treiber: Okay, thanks for taking the questions.
Stephen Sadler: Doesn't mean though we can't do bigger. You know, again, as you saw, let's look at little bit of the marketplace a little what we see. Avaya went into receivership. It's $2.5 billion. It was brought out, wrote off about $2 billion. And they're -- let's say they're back in the market, but I think struggling a little bit. A company called Verizon bought a competitor called BlueJeans many years ago, paid about $500 million for it. They did about $100 million in revenue at the time. They've announced that they are going out of the business by the end of April and you have to find other solutions. You have the Lifesize, which we've talked about. You can go and look at the public companies, even the ones that are -- you know, have pretty good product. They are challenged to making money. Some have money because they raised it when -- at the right time when things were hot and others don't have much money. So, they're on a bit of a timeline to do something. So, we see the market. And if you look at the competitors, in the -- we didn't talk about it, but if you look at the AMG side, you can just look around Toronto and Attivio. They were used to be called Red Knee. They came out. You can see their stock. You can see their results and you get an -- you get some idea of what's happening in the marketplace. So, it used to be it didn't matter if you made money and it didn't matter if you did revenue, but didn't make money. Life has changed. We're back to what I would call more normal. And you've got to have cash flow. And if you don't, at least many investors on the call can decide their own thing. But I don't see them putting a lot of money in these companies anymore. You even got Zoom, very good company. Went $500, down to what $70 or $80 now? Five9, a good company with good product, went from over $200 to about $70. They are all -- and if you look at the results, it's because they're not making money. They're growing okay. But I guess their strategy is grow to loss, the key is for their shareholders is just to grow. For our shareholders, we've always been looking more at the bottom line than the top line and we want profitable revenue and that means we give up some revenue. I'll also point out in acquisitions, people wonder just add in the revenue. Some of the way we get the profitability is take out revenue that's not profitable. And that could be we increase prices and say, look, here's what's going to be. And if you can't pay the price, you should find something else. We aren't in for just revenue. We're a cash flow and a profit orientated company. And, yes, that hurts our sales growth a little bit, but it seems to work okay. And the environment today, it's nice to have the cash, it's nice to have the growth and profitability and it's nice to have the money to do acquisitions.
Paul Treiber: Thanks for those comments. So I'll pass the line.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Daniel Chan from TD Cowen. Your line is open.
Daniel Chan: Hi, good morning. Steve, you mentioned that the Lifesize contribution was declining more than you expect -- not more than you expect, but was going to decline because of the receivership. Just to help us calibrate how we're thinking about this, how much revenue did Lifesize contribute in the quarter and what rate do you expect that to continue declining?
Stephen Sadler: So, two points. It was declining, but not more than we thought it should be, okay? So that's one, because they had told their customers they had to go in the cloud and they had to have, you know, SaaS type model. And many of their on-prem then said, okay, well, we'll go somewhere else. Because some wanted on-prem and some said, well, I'm going to go to the cloud, I might as well look at other ones that are more mature than yours. So that's caused their problem. We're hoping that by letting them stay on-prem that some of those customers that might have churned won't, but a lot have started already. I do think that the results in the quarter, you know, we don't give out exact numbers, but basically the revenue increase in the quarter from Q3 to Q4 is basically Lifesize. So that gives you a sizing of the Lifesize revenue. Without Lifesize, we would have a slight decline, but much slower than in the past. And basically it's still because of video and you can look at all the video companies, et cetera, they're all declining a little bit mostly because Teams. Microsoft has really got into that space. So, we still had a slight decline in our -- let's say, our revenue without Lifesize and Lifesize revenue was what added to the quarterly revenue number. And I will say that there's still maybe some more churn coming there, but there's also more opportunities in that customer base now that we've sort of changed the scenario. We think some of the customers may buy more, but maybe Vince, you can add a bit.
Vince Mifsud: Yeah, Daniel, one other -- a few other points. One is by offering choice and you get a customer that says we'll take your cloud product, your private cloud product versus on-prem. What happens is you get less perpetual revenue, but you get more recurring. So, you see our recurring revenue is growing because of that and less on-prem. So that's kind of one point. The other point is when we acquire a company like Lifesize, we also have a whole bunch of technology within Enghouse that we embed into their products. I mentioned this in the previous call called -- that we have a suite of products called Enghouse source and we also can bolster their products pretty quick -- quickly by just embedding our technology to improve theirs. And we also get technology from this company that can improve our other products. So within Lifesize, we got a workforce management piece of software that we never had in our portfolio. So we also get that to go and offer that to our customers.
Stephen Sadler: There's a lot of moving parts, but it does help in different ways as Vince has outlined. We -- sometimes we're at the bolt -- it takes time to bolt the products into ours. One thing we don't do, we do not force customers to change.
Daniel Chan: That's helpful. Thanks for that. And maybe talking about the AMG segment that was down quite a bit in constant currency year-over-year. Any color on what the drivers of that was?
Stephen Sadler: I missed the first part of that.
Vince Mifsud: We didn't quite hear you there, sorry.
Daniel Chan: Yeah, sorry about that. The AMG segment was down quite a bit in constant currency year-over-year. Just any color on that? Was it just due to the completion of some projects or is there anything else to call out?
Stephen Sadler: No, I think what you'll find in the AMG group, it's pretty steady. Everyone was hoping for 5G to improve things and keep them up, but the telcos have really cut back, worrying about a recession and the 5G is not as strong as they thought. So we find that they're managing their costs a little bit and not doing a lot of new investing or purchasing at this time. It's still going pretty well for us compared to others. But yes, it slowed down in the -- I think the fear of recession could be coming, is also causing him to hold back a little bit. But we have noticed some pullback in the telcos.
Daniel Chan: Okay, thanks. And, you know, our collections were really strong this quarter, they really seemed to improve. Any color on what drove that improvement?
Stephen Sadler: Hard work.
Vince Mifsud: Yeah, we're just on it, Daniel. We're staying on the receivables very closely. Because of the recession, we don't want people stretching us. So we're over indexing there I would say.
Daniel Chan: Okay. Sounds good. Okay. One last one for me. Thanks for all the color on the AI stuff, Vince. GenAI is viewed to potentially replace call center representatives. What is Enghouse doing to enable this? And do you think this will change the business model as customer experience transforms?
Vince Mifsud: Some reason I'm not hearing, Daniel, I'm sorry, it's hard to hear. My apologies. Couldn't hear you. Yeah, that's better now, I think.
Daniel Chan: Yeah. Just a question on GenAI. You know it's due to potentially replace call center representatives. Just wondering if you guys are doing anything there to help enable that and whether you think that transformation in the customer experience industry will change the business model for you guys?
Stephen Sadler: I think we talked a little earlier. There's a lot of talk, but not much happening on that side other than we are doing projects that are leading there, but they're projects. You know, I've compared it before to five years ago when everyone said, I'm going to sit in the back of a car and it's going to drive me around. So, we're going to eliminate anyone driving cars. Haven't seen anyone doing that yet and I don't think I'll see it in the future. We see the future really being in real life practical manner is AI helping us do things, but not eliminating things. So it makes new agents up to speed faster. They can use it to do things. We do not see that elimination. I've joked before saying probably the analysts on the call will be eliminated before that ever happens in contact center.
Vince Mifsud: Yeah, we don't -- the conversations around using chatbots to answer, you know, simple questions, that's definitely occurring which then frees up the agent to deal with more complicated interactions. There's not enough agents to handle all the activity out there in the world. But like Steve said, we see it as a productivity enhancement. That's our -- that's what we see in the market, looking for tools to make the agent better.
Stephen Sadler: We don't believe in right immediate or in the immediate future you're going to have no agents and the computer is going to answer the question. Because usually you need an LLM, a large language model. And especially our accounts are smaller, so they don't have a big enough base of data to answer it on their own, but they can provide information and -- to somebody who can answer it. The cost of an agent doing that is not really high. The agents aren't the highest paid people in the world. So, again, we're trying to use it to give better answers, it will get better over time. But right now, you don't want to have computer give a wrong answer to somebody and cause a bigger problem too. So, we're in the space. We're doing practical solutions, but it's going to take a lot longer than the people who write about it, I'll call them visionaries, think it will. Just like I still don't see anyone drive sitting in the back of a car or parcels being delivered by a car with no driver. It takes longer. And we're there, we're in the space. We have someone whose total job was just to look at AI solutions for us. So, we're doing that, but it's not happening anywhere yet. It's just a lot of nice discussion. And again, in some ways, I'll say it sarcastically, I think it's good for investment bankers to raise money for people on that vision. But in a company to make money doing it, other than the platform people, Nvidia, Google, those guys, because they don't care if the company is using their services lose money. But all they have to have a large capacity to do AI, so they're all doing quite well. I don't think our customers, even to just to convert and have a large database, a large base of data, it's not that large. You got to have -- you got to be a bigger company. We sell generally to the middle sized contact centers. So we do it as a hybrid model, help them be more efficient, help them answer their questions and help us answer their questions for them. But we don't have that same vision that, shall we say, some of the other visionaries have.
Daniel Chan: Thanks. I'll pass the line.
Operator: Thank you. And there are no further questions at this time. I would like to turn it back to Mr. Stephen Sandler for closing remarks.
Stephen Sadler: Okay. Thank you everyone for attending the call and your continued support. Our objective remains to have profitable growth both internally and by accretive capital allocation. Enghouse is well positioned to execute its strategy in the current economic environment. Have a Merry Christmas and a Happy Holiday season.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.